Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to the Innergex Renewable Energy’s Conference Call for the Third Quarter 2013 Results. [Foreign Language]. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session for analysts and institutional investors, and instructions will be provided at that time for you to queue up for questions (Operator Instructions). I would like to remind everyone that this conference call is being recorded today, Wednesday, November 6, 2013 at 11.00 AM Eastern Time. I will now turn the conference over to Marie-Josée Privyk, Director of Investor Relations. Please go ahead.
Marie-Josée Privyk: Thank you. [Foreign Language] Good morning ladies and gentlemen. I’m here today with Mr. Michel Letellier, President and CEO of Innergex; and Mr. Jean Trudel, Chief Investment Officer and Senior Vice President, Communications. Also joining us is Mr. Jean Perron, Chief Financial Officer and Senior Vice President. Please note that the presentation will be in English. However, you may address your questions either in French or English. [Foreign Language] I would also like to point out that journalists are invited to call us afterwards, if they wish to address any questions. In a minute Mr. Letellier will provide an update of our operating activities and Mr. Trudel will provide some details on our financial results through September 30, 2013, we will then open the Q&A session with all three senior executives. Please be advised that this conference call will contain information that is forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. The risks, uncertainties and other factors that could influence actual results are described in Innergex’s annual information form. The financial statements and the MD&A have been filed on SEDAR and are readily accessible via the internet. You may also access the press release, financial statements and the MD&A on the Innergex website in the Investors section. Also this presentation may refer financial data that are not recognized measures according to international financial reporting standards, as they do not have a standardized meaning. I’ll now turn the conference to Mr. Michel Letellier.
Michel Letellier: Also advanced the 150 megawatt wind project with the Mi’kmaq First Nations by finalizing all the field studies and work on negotiating the PPA with Hydro-Québec. Furthermore we have then completed the upgrade on Miller Creek as planned and production should resume by the end of this week. Again I’m very proud of the team for having on six permitted projects, three construction project initiated three start up construction and one acquisition. All those projects are adding up on a great portfolio of young assets that are all under long-term contract, I believe that these accomplishments shows the best of our team that can deliver growth stability and predictability in our future gas wells. With the philosophy that faster creativity to develop project together with a firm discipline in term of managing risks by namely fixing project debt and paying it back in the first life of the PPA. We are securing the sustainability of our dividend. In thermal growth, we have had good things by the Innergex turbine in BC and are looking forward future opportunity in BC. As we said in the past we remain focused on BC because we think it’s a great market for us in the future. In Quebec we are waiting for the final details of the 450 megawatt RFP and are getting prepared to participate in this great opportunity. Ontario is little bit more complicated, remain one of the big markets in Canada, so we are evaluating our opportunity there but we remain cautious about the future development. On the other end, we’re seeing a lot of activities in the States and we’re getting more familiar with without a many end development in the United States. So in conclusion, we remain on the plan by focusing on our priorities, securing project depth and fixing long-term interest rates. So that future cash flow will not be affected by future rate increases, adding good projects to meet that needs our criteria by enhancing our portfolio is what we’re planning to do. So, on those notes I would transfer it to Jean thus going to give you a little bit more details in the results.
Jean Perron: Yeah, thank you. So it’s great quarter and these numbers repeat to report the third quarter results benefited from a very good performance at all of our three segments, electricity production was above long-term average and especially at our wind farms, our hydro facilities in Quebec and our solar farm in Ontario, so overall production to that 106% of long-term average. This strong Q3 performance combined with the good performance experienced in Q2, helped to compensate start in Q1 and lifted production to 100% of long-term average for the nine months period. So again I think it’s fair to say that our large diversification between segments, provinces and multiple watershed hydro facilities played a big role for meeting our previous and long-term average on consolidated databases. For Q3 production increased by 26% and by 20% for the nine months period. This translated in revenues increasing by 23% to $58 million for Q3 and by 21% to $156.9 million for the nine months period. So in Q3 revenues increased mainly because of our average production of course and because of the contributions from the Brown and Miller Creek hydro facilities acquired in October 2012, additional capacity at Gros-Morne wind farm since November 2012 and the acquisition of the Magpie facility in July 7, 2013. For the nine months period, benefited from the same reason and also from the start of solar farm, which was commissioned in May 2012. With a greater number of facilities and operations, operating, general and administrative expenses grew but at a slower pace in revenues. So we are also very cautious in spending time and money on only those perspective projects with the highest part of royalty of positive outcome. So this translated in increasing adjusted EBITDA of 46.7 million for the quarter that 27% increase year-over-year and an adjusted EBITDA of $123.4 million for the nine months period a 24% increase year-over-year. So our EBITDA margin at around 80% reflects the low cost nature of our facilities and our ability to operate efficiency and to spend a lot of the goals opportunities. I believe this margin is one of the highest, if not the highest in our industry. So as we continue to progress with the commissioning activity that Michel mentioned, part of Q4 and 2014 results and beyond will benefit from the contribution of 55 megawatts of additional capacity. In terms of financing for the Upper Lillooet, Boulder and Hydro facilities for which we started construction, we are now planning to so many approach interested lenders early in the New Year in view of closing in the following months. And in order to perfect does from rising or the potential from raising interest rates until then we sorted our hedging programs in bond loss that will be set over by including it as financing. So we will also intend to use the same more similar hedging strategy if you hedge the acquisition project as soon as the power purchase agreement is executed with Hydro-Québec. So until settlement of these derivatives, which will either create a realized loss or realized gain that will become considered by lower or higher fixed interest rate on the non-recourse financings for the duration of their – for some of the PPA. These derivatives will be mark-to-market every quarter, potentially creating important unrealized gains or losses and affecting net income, but it’s a non-cash effect. So in summary, this quarter is a good example of Innergex’s diversification strategy, its operational efficiency and also our capacity to deliver growth now and for the years to come. So on this I will pass it on to Volume 2 back to Marie-Josée.
Marie-Josée Privyk: Thank you, Jean. So that completes our presentation. We now invite you to ask your questions. [Foreign Language]
Operator: Thank you. Ladies and gentlemen we will now conduct the question-and-answer session. (Operator Instructions) Your first question comes from Jeremy Mersereau, National Bank Financial. Please go ahead.
Jeremy Mersereau – National Bank Financial: Good morning everyone.
Michel Letellier: Good morning, Jeremy.
Jeremy Mersereau – National Bank Financial: Just wondering if you could talk about the steps involved in getting the PPA and then with BC Hydro. It will be a difficult hurdle do you think and one more difficulties and the permitting that you had to go through this summer?
Michel Letellier: Nothing is more difficult than permitting Jeremy.
Jeremy Mersereau – National Bank Financial: Okay.
Michel Letellier: No I think it is okay, but obviously as you are all aware, BC Hydro is managing the existing PPA definitely more tightly than before. We always looking for volumes to have some kind of I guess benefit from anything you’re asking. So things are going well, Upper Lillooet, Big Silver and Boulder, I think everything is finalized. We’re still working on – and we will be able to finalize all these things. But I think BC Hydro would love to see all of these I guess projects finalizing in the same time and then meaning Upper Lillooet with Big Silver and to some degree to – few terms and what to do. So we’re trying to finalize all these things. Fairly confident that we’ll have a win-win situation with BC Hydro but there is actually more focus on trying to get little bit more benefit out of any negotiation.
Jeremy Mersereau – National Bank Financial: And I guess the timing would be soon, it can be generic, yes there I guess yes.
Michel Letellier: Yes, yes, yes.
Jeremy Mersereau – National Bank Financial: And getting back to the 450 megawatt Quebec wind RFPs and you did talk about that little bit don’t know if you have any indication on the potential for timing?
Michel Letellier: While we’re certainly planning to do it before the year-end, negotiation have gone very well with Hydro-Québec. And finalizing couple of the issues with the First Nation…
Jeremy Mersereau – National Bank Financial: Are you talking about the…
Michel Letellier: Sorry.
Jeremy Mersereau – National Bank Financial: 150 or I guess I’m looking at the future growth, but it’s a great question to answer anyway.
Michel Letellier: Yeah, well but if I continue to enter that one, things are going on proceeding very well with the 150 megawatt a new project with Hydro Quebec we are fairly positive that we should be able to finalize by before the year-end in terms of the 450 megawatt RFP some official have been I guess telling the players that we should have the final result or the announcement before Christmas. So I think that the government is still focused on that timeline, we are certainly are gaining very I guess getting ready and anxious to start the working towards that RFP.
Jeremy Mersereau – National Bank Financial: Okay and finally then you previously mentioned a 180 day hold on your $25 million deposit from your LOI with Hydromega wondering if there is a timeline to that LOI agreements or could that be extended I don’t know if you can provide anymore color on that?
Michel Letellier: Well without wanting to go through deep in the LOI with both parties can extend it and which have been expanding at with the Hydromega principle a few times we’re still talking and I think that to some degree we are advancing in many fronts on that one. So don’t want to promise anything but we’re still talking and as we said in the past any transaction that we would conclude would have to be accretive and would have to meet the new I guess perspective of the market and interest rate but we are still talking.
Jeremy Mersereau – National Bank Financial: Okay. Thank you very much.
Operator: Your next question comes from Nelson Ng, RBC Capital Markets. Please go ahead.
Nelson Ng – RBC Capital Markets: Good morning everyone.
Michel Letellier: Hi, Nelson.
Nelson Ng – RBC Capital Markets: Just a quick follow-up question on the PPA negotiations between the MoU and Hydro Quebec could you talk a bit of about the process in terms of how they arrive at a price in terms whether its on agreeing on a rate of return or whether I just wondering like how they kind of come up with the number but given that its not a competition and the second part of that question is I was wondering whether the $95 per megawatt hour plant price caps weather that applies and whether you can whether its economic at her below that price?
Michel Letellier: Well I think that by entering the section portion you would understand that Hydro Quebec knowing that there is a roof or a cap price around $9.5 that probably was driving their view on the MoU project mind you that this project has a great resources I think that we are in a very good position for negotiate also with turbine manufacturer, especially the one in Quebec that’s meets the criteria of local content because we’re the first I guess proponent to be able to secure a contract for them. So I would say that’s we’d been very pleased with the pricing and what have you. So yes, with cap we’re meeting our forecasted, the internal rate of return, and so with our partner Mi’kmaq First Nations. So things are going very well. Mind you that interest rates are still fairly low. So we have the ability to fix that giving the fact that we have completed the eight-way [ph] manifold studies and it has been presented to the [indiscernible]. There is no real problem that has been identified, so we feel very comfortable with the fact that this project should get permitted. All-in-all very, very pleased with the – I guess the negotiation with Hydro-Québec. Given the fact that we have advanced a lot of development of this project, we know the construction, we have grown from contractor and the ability to also to fix the interest rates at competitive rates makes it a good and attractive project for us.
Nelson Ng – RBC Capital Markets: Okay. So does unlike the 9.5% or $0.095 is kind of liable economic and I guess some key pace with Hydro-Québec, they vary their power price for the cost of steel or with interest rates and kind of with the installation, do you think that will be case for this one as well?
Jean Perron: For the 450?
Unidentified Analyst: No for the 150 with the MU.
Jean Perron: We’re in a position. There were some discussions about that. But without getting into too much detail, we have selected the few items. But given the fact that the project is not that far and also our ability mainly to fix interest rates now enabled us not necessarily to go through I guess these option would be PPA. So we rather manage some of those risks ourselves. We found it probably more cost effective compared to the formula that Hydro-Québec was using.
Nelson Ng – RBC Capital Markets: Okay. My next question is on North Creek, so is that project like are you set to canceling that project and is still on that list because you haven’t efficiently canceled it with BC Hydro or could you comment on making North Creek and whether you guys are still actively looking at that?
Jean Perron: It’s a project that has been permitted, for the time being we are planning to cancelling the PPA, but things have to be finalized would be as I mentioned earlier that doesn’t mean that we wouldn’t be able to do that project in the future, but for the time being given the pricing and the cost to build. We thought it was the better use of our equity to make up early with a little bit bigger and hence having two project instead of one produced instead of three, producing almost the same energy all-in-all.
Nelson Ng – RBC Capital Markets: Okay. And then just kind of one last question on just general M&A, I think in the past when we talked about like your expected return on equity for like a long term contracted operating Hydro facility. It was kind of close to that 8% mark. I was just wondering given the changes in interest rates and things of that like whether that has moved up materially or not in terms of when you go out and assess the third party acquisitions?
Michel Letellier: Those I guess assumption are very case sensitive, and obviously I were always bidding against other players so it be wouldn’t very wise for us to I guess advertise whatever going to think, but sure we’re at that think and I think that we are taking into consideration the bond yield as a bench mark definitely.
Nelson Ng – RBC Capital Markets: Okay thank a lot, those are my questions.
Operator: Next question comes from Ben Pham BMO Capital Markets. Please go ahead?
Adam Johnson – BMO Capital Markets: Hi, this is actually Adam Johnson, dialing in for Ben in this morning. I just wanted to talk a minute about the Miller Lake assets and particularly the pricing on that but looking back over the past year, since you acquired it and looking forward it at [indiscernible] prices. How would you say realized prices of the project are coming in as compared to your expectations when you acquired the asset last year?
Michel Letellier: Well, I actually like we mentioned we were using below $0.03 forecast, so what we have seen in last year or so has been better than what we have anticipated. Obviously its hard to forecast a long-term mid-sea but I think that we have seen the bottom of the mid-sea but that doesn’t mean that for quarter or specific month it couldn’t go a very low but if you remember we acquired Miller Creek when the mid-sea was around 0.2.05, K2 coming even from lower levels that year prior to debt. So I really feel that Miller will be in accretive project given the fact that also that we have completed the upgrades as much as but then in matter of fact we still have some contingency to upgrade some of the future component of that facility, thought very happy with the acquisition, we have also managed to create synergy by hiring new operator and creating little bit synergy with part of Creek fit [indiscernible] in that same area and eventually having indiscernible] and bolder into same general density of [indiscernible] I think that the strategically it was great acquisition.
Adam Johnson – BMO Capital Markets: Okay great thanks for that color and my second question I got just a bit more broad, and I have to do with solar you had started to up and running for more than year now, posted few solid quarter so how do you see solar light fitting into your generation mix going forward with that experience?
Michel Letellier: Just sorry that we didn’t do little more interiorial but we certainly like the with that sector we have learned through the development obviously there is always little thing that you have to be careful when you build any project, or been permitting any project but definitely the technology is approving to be on budget or even better so we were proud, not proud that we are very happy with that investment and businessly that allowed us now to take a closer look to further opportunity in the solar sector, which is that the fact the attending where you’re developing far it’s always a little bit more still, a little bit more expensive than other form of renewable energy, so that’s we said back because in terms of operation we’ve really like this older technology.
Adam Johnson – BMO Capital Markets: All right. Well those are all my questions, thanks a lot.
Michel Letellier: Thanks.
Operator: Your next question comes from Sean Steuart, TD Securities. Please go ahead.
Sean Steuart – TD Securities: Thanks. Good morning everyone. Just one question with respect to the Hydro Mega LOI projects is moving forward there and advancing your talks does that really just contingent on the share price or is there anything more to those projects in the underlying economics?
Michel Letellier: Well, obviously there is always negotiation when I guess the market basis change, but it’s also I guess related to some difficulties in the construction of Kapuskasing or delay on Kapuskasing COD dates in some negotiations with their contractor on over runs and stuff like that but must have created a little bit more I guess bumps into the negotiation in price obviously.
Sean Steuart – TD Securities: Okay. That’s all I had to answer you answer the rest of my questions. Thanks guys.
Operator: Next question comes from Jared Alexander, Canaccord Genuity. Please go ahead.
Jared Alexander – Canaccord Genuity: Good morning and congratulations on the quarter.
Michel Letellier: Thank you.
Jared Alexander – Canaccord Genuity: So my first question I just wanted to know will you be reporting Q4 revenue for [indiscernible] and we should then build during the commissioning phase or does that where you get apply directly to capital costs?
Michel Letellier: Well yes I had answer to the in the past depending on the advancement of the project you would have been able to use some of the revenue to apply against the assets but with the new rules even with the project are not completely finished, we will be showing revenue and then a split with the capitalized interests during the final commission stage.
Jared Alexander – Canaccord Genuity: Okay. Great thanks for that. Now I assume during the commissioning period you do something below the PPA prices, can you give us any kind of ideas what maybe they’re expecting in Q4?
Michel Letellier: A little bit hard to do to forecast but as we speak [Indiscernible] has been producing the electricity for roughly 10 days now.
Jean Perron: [Indiscernible]
Michel Letellier: 22, so we’re getting roughly mid-peak minus certain discounts, so it’s not huge revenue obviously but it shows that the project is all I guess all fine, we didn’t have any glitch actually the commissioning went very, very well. We are waiting to have little bit more water in order to meet the minimum requirement by BCI growth to I guess to do the commissioning test, we have little bit of a challenge because October has been one of the driest in record in BC, so we’re waiting for a window of two, three days of rain in the area to complete the depth, so I guess it’s a matter of having a little bit of bad weather in area.
Jared Alexander – Canaccord Genuity: Right. Okay. Thanks for that. Now I want if I can just follow up on that point because I just see the reference to the COD being possibly delayed by water. Is this actually your choice to delay or is this BC Hydro having solar requirements that it must meet I guess to got the clear operations. And maybe you could comment on the likelihood of those CODs slipping into 2014?
Jean Trudel: It is BC Hydro commitment. It’s hard to see a very, very unlikely that we wouldn’t have the window of about 72 hours of that. So and we are very, very close. We’re missing maybe 10% to 15% capacity. So we’re producing around 10 megawatt and we would need something closer to 11.5% or so. So very confident that will have a window, given the hydrology has been quite dry in October. So it takes just a little bit of rain in November and we’ll get there. Turning to the other Northwest Stave has less constraint. It’s a different RFP, so it’s different type of contract in the case of Northwest Stave. So we don’t see any issue there for Northwest Stave. This is now will we already have eight turbine working out of 12 and the other one are from the commissioning phase. So [indiscernible] whether we have no issues thinking that we should be intuited by the expected date of December 1. And then yeah, we got seven days extension because of the strike this summer in Québec for construction. So we don’t see any issue with [indiscernible].
Jared Alexander – Canaccord Genuity: Okay, great. Thank you. Now shifting gears a little bit here, in light of the additional $210 million of hedges that you had there in during the quarter. Are you able to provide some guidance with respect to what kind of interest rate we should expect to be realized Upper Lillooet and Boulder in Tretheway?
Michel Letellier: Our market conditions are always a little bit difficult to forecast. But we’ve seen spread coming from the 300 to going down to the 250s over the bond. So that’s encouraging. I think – we think it’s given the quality of your assets that those projects are with the long-term PPA of 40 years with BC Hydro. There is not that many; if it will about to put financing on these days, so I think that we certainly are using a good timing to negotiate with Lifeco. We’re edging as you probably know there are around 3 to 315 that’s the rough of the average that we’ve been seeing. We’re remaining a little bit opportunistic when interest rates are going down to be a little more aggressive in the amount that we’re doing. So we’re managing this very closely, but we certainly hope that interest rate holding costs would be below 6%
Jared Alexander – Canaccord Genuity: Okay, great. Thank you very much. Those are my questions.
Michel Letellier: Thank you.
Operator: Your next question comes from John Safrance, Cantor Fitzgerald. Please go ahead.
John Safrance – Cantor Fitzgerald Capital: Good morning. Three months after you eliminated the discount on your DRIP program. Have you given any further thought as to whether you expect to continue at long-term or is that still something that ultimately still even contemplated yet?
Jean Perron: But we were surprised to see that actually the DRIP petition went up close to 40% or [indiscernible].
Michel Letellier: So for the time being we’re happy of not giving any discount on the share price instead of going well on that asset.
John Safrance – Cantor Fitzgerald Capital: Okay, thanks and on the just one line the perspective projects then to BC that continuing and sort of a $3 million or $4 million per year rate?
Michel Letellier: Well as John was mentioning the answer to you yes but we’re very opportunistic and if there is window of opportunity obviously we’ll take advantage of it but we’re trying to spend that money wisely on different projects on different markets making sure that we are diversifying our risk exposure there as we always said perspective money is where it’s the most risky part of our business. So we want to make sure that we remain careful on [Indiscernible] yet are in represent the future and that represents the next wave of future contracts. So for us it’s a segment of our business that is very, very important. We are always looking for word long-term opportunity. But again we want to make sure that we remain focused on spending where we think we can get results.
John Safrance – Cantor Fitzgerald Capital: And is that inclusive of Greenfield prospecting as well as potential M&A activities in terms of acquiring PPA?
Michel Letellier: There is obviously M&A but the number of existing PPA in Canada is shrinking and the problem sometimes that as time elapse if someone hasn’t done there or started the construction and risk rate is moving up, construction cost might have gone up also. So PPA that have not been put to work to some degree are probably a little more difficult to in terms of economics. So in Canada there is some still that in Ontario I guess in the solar aspect that are still probably interesting but the PPA, the existing PPA in BC might be a little bit more challenging to come up with good economy.
John Safrance – Cantor Fitzgerald Capital: Okay thanks and just one last question the timeline for North Creek and a resolution there carried wage or any sort of guesses to when that might happen and how that and if it when that would actually result in some sort of upsized, project sized fleet still remaining?
Michel Letellier: Like I said working what BCI and trying to finalize everything in terms of I guess project, active project in BC but I see few months not I guess it’s certainly not at a long term aspect might think that we it is a short term things. And still confident that the assumption as we have views and forecast will be met.
John Safrance – Cantor Fitzgerald Capital: Okay, great. Thanks very much.
Operator: Your next question comes from Matthew Akman, Scotiabank. Please go ahead.
Matthew Akman – Scotiabank: Thank you very much. In our U.S. plans are you looking more acquisition or Greenfield?
Michel Letellier: Well obviously getting into a market probably easier to make acquisition but if we could find a project that has been advanced by a group that needs a partner to complete the construction or to help them finance the project that certainly something that we would be open to. The U.S. has been the challenge in the past, in terms of physical structure I think that we are getting a little bit more comfortable and there is probably a little bit more players also in that field, that enabled little bit more flexibility so we are getting I guess more comfortable with some assumption into in the United State.
Matthew Akman – Scotiabank: Some of your competitors have bought Hydro assets recently in the US that have some merchant exposer and you come as that the Miller asset, you are comfortable with even though it some it the exposer so is that a strategy that you would continue to pursue? A minor
Michel Letellier: Certainly not on the size of what’s you are mentioning of our competitor, we still are very focused on having long-term contract and we have in the past resisted going merchant in many occasion, we didn’t say that we’ll never do any acquisition but being merchant, but - we can never say, never if the opportunity, the price and the right aspect that all even getting some hedge on the not a guarantee occurring right aspect and we are getting but on the electricity might be also at we some but you we are very cautious about gang there in certainly not the trend if that’s the underlying question that you are asking we are trying change our focused on securing long-term contract.
Matthew Akman – Scotiabank: Great, thanks guys. Those are my questions.
Matthew Akman – Scotiabank: Thank you.
Operator: (Operator Instructions) your next question comes from Jeremy Rosenfield, Desjardins. Please go ahead.
Jeremy Rosenfield – Desjardins: Hi thanks good morning everyone
Michel Letellier: Hi Jeremy
Jeremy Rosenfield – Desjardins: But Thanks just on following on Mathew’s question and you approached to the US we dinitely are you definitely thinking hydro as most interesting technology that you would like to involve in the US as you are in not sort of in Canada?
Michel Letellier: Yes and no because there is not that many new cling field anchor older we’ve seen couple was on that are getting I guess promoted, the challenge obviously is hydro new project are little bit expensive and you would need a certain amount of long-term PPA that’s are not easy to get into States. So I guess the majority of the opportunity are probably more related to solar or wind but definitely if opportunity comes and makes sense in hydro we think that we have certain advantage in terms of knowledge, and especially if project have to improved I think that we have a good team that can maybe create little bit more advantage for us into looking in some project well I’m not so confident about our ability to have hydro with long-term PPA industry.
Jeremy Rosenfield – Desjardins: All right, turning to the financing and the locking in of the interest rates that you are mentioning earlier in terms of what you have locked in so far, what is that represents in terms of leverage relative to the total expected costs for the project that are moving into construction?
Michel Letellier: While we haven’t changed roughly well I am not sure I understand your question if the question is how advents we were close to about 50% of the program to hedge and the leverage in terms of by project is anywhere between 75% to 85%.
Jeremy Rosenfield – Desjardins: Right, exactly so you are 50% of the way towards that 75% or 80% target.
Michel Letellier: Yes, not including the Mi’gmaq existence is true.
Jeremy Rosenfield – Desjardins: Right exactly excluding MoU, excellent and then just one final question you mentioned that you changed the differentiation and amortization treatment related to intangibles on the Quebec hydro assets. Can you talk a little bit about the thinking behind that in terms of what you expect for the assets when the PPA do actually expire and then also you guess in terms of how that or what that has for implications on cash taxes if there are any implications because I know you are ready but not paying much in terms of cash taxes?
Michel Letellier: Well to answer to last question cash taxes and get affected at all by that amortization well accounting amortization.
Jeremy Rosenfield – Desjardins: Correct.
Michel Letellier: And actually as you might know in Quebec, there are some public sites that have a 20 year plus a renewal of 20 years so we anandrically after that 40 years the site goes back to the ground, so we are matching that in terms of amortization we are not going further from that I guess that date. Does that and I sorry your question Jeremy?
Jeremy Rosenfield – Desjardins: Sure, but more generally just what does it imply a change of thinking in terms of what you can expect to receive from your assets once the first PPA has expired and you exercise options to extend the PPAs? But that’s what I was more getting at?
Michel Letellier: No, as you know in Quebec there are some PPAs are getting into the first renewal phase one of our projects sample 1A will be in that position in 2014.
Jeremy Rosenfield – Desjardins: Right.
Jean Perron: The only industry is negotiating obviously [indiscernible] is thinking that price should be readjusted down we think that we could claim the continuity of the electricity rates. that’s what we read into our PPA but there is also talk about changing maybe the terms of the PPA in land so prices one component if Hydro Quebec wants to renegotiate those maybe they are open also to expand with the government the leases to something more than once shot 20 years renewal so its all been in negotiated right now. I think that the industry is getting organized to negotiated as a group making sure that we are well treated in two these three negotiation one has to remember that those contract were signed back into the 1991, 1992, 1993 years and the price was established on the basis of avoided costs for Hydro-Québec and Hydro-Québec was using amortization life around 60 years. So that’s the whole idea saying you guys cannot look into the renewal and only thing that it was viewed on 20 years amortization. We always look into 40 years to amortize these projects and on the basis of avoided costs Hydro-Québec was using 60 years. So I think we have a good ground to negotiate with Hydro-Québec and the government of Quebec, but certainly going to be active in the next two months.
Jeremy Rosenfield – Desjardins: Okay. Great, thanks.
Operator: This is David. There are no further questions at this time.
Marie-Josée Privyk: Thank you and thank you everyone. We appreciate this opportunity to give you an update on our company. Please do not hesitate to contact us if you have any other questions. [Foreign Language]
Michel Letellier: Thank you.
Jean Perron: Thank you very much.
Operator: Ladies and gentlemen, that concludes our conference call. Please note that a replay of the conference call will be available on the Innergex website later today. Thank you. You may now disconnect your lines.